Operator: Good day, ladies and gentlemen. And welcome to the Third Quarter 2009 Digi International Incorporated Earnings Conference Call. My name is Melanie and I will be your coordinator today. At this time all participants are in listen-only mode. We will conduct a question and answer session at the end of this conference. (Operator Instructions). As a reminder, today's call is being recorded for replay purposes. I would now like to turn the call over to Mr. Subramanian Krishnan, Senior Vice President, Chief Financial Officer and Treasurer. Please proceed.
Subramanian Krishnan: Good afternoon and thank you for joining us today. Before we start, I need to go over a few details. First, if you do not have a copy of our earnings release, you may access it through the Press Release section of the Digi website at www.digi.com. Second, I would like to remind our listeners that some of the statements that we make in this presentation may constitute forward-looking statements. These statements reflect management's expectation about future events and operating plans and performance and speak only as of today's date. These forward-looking-statements involve a number of risks and uncertainties. A list of the factors that cause actual results to be materially different from those expressed or implied by any of these forward-looking-statement is detailed under the heading Forward-Looking Statements in our earnings release today and under the heading Risks Factors in our 2008 annual report and the Form 10-K already on file with the SEC. We undertake no obligation to update publicly or revise these forward-looking statements for any reason. Finally, certain of the financial information disclosed on this call, include non-GAAP measures. The information required to be disclosed about these measures, including reconciliations to the most comparable GAAP measures are included in the earnings release or in the Form 8-K that we filed before this call. The Form 8-K can also be accessed through the SEC filing section of our investor relation website at www.digi.com. Now, I would like to introduce Mr. Joe Dunsmore, Chairman, President and CEO.
Joseph T. Dunsmore: Thank you, Krish and welcome to the call everyone. This is the 26th consecutive quarter of profitability for Digi in an environment that remains very challenging. Our results were within the revenue and profitability guidance ranges that we provided at the beginning of the quarter and exceeded the street consensus on both counts. Revenue of 44.5 million was down 5.5% year-over-year and up 10.9% sequentially. Wireless product revenues continued their positive growth trend up 18% year-over-year. Wireless product revenues around 35% of our total revenue, up from the 28% of the third fiscal quarter of last year. Revenue of this quarter were bolstered by the large Fujitsu deal and the one-time Net +50 chip last time by sales. Next, I will comment on the current environment, the opportunity that it presents Digi and the additional actions that were taken to capitalize on the opportunity. The economic environment and markets of Digi sales continue to behave in a recessionary mode. One positive sign I can point to that we have seen are daily bookings rate improved in June over the previous five months. We believe that this is indicative of increase in inventory replenishment needs of our customers and this trend has continued into early July. We expect this trend to continue and increase in the current quarter. Another trend that we continue to see is the continuing shake up in consolidation across virtually all industry sectors including the M2M space. We, at Digi, choose to view this time period as a tremendous opportunity to improve our market position through talent asset and company acquisitions leveraging our strong financial position during this challenging time. As I said in previous calls, there will be clear winners and losers by market sectors, you move through and eventually emerge from this market downturn. Digi is positioned with its stable balance sheet, strong operating margins with highly differentiated positioning to gain share and emerges a winner. With this in mind, we completed the acquisition of the assets of MobiApps in June. MobiApps is the developer of wireless M2M communication technology focusing on satellite, cellular and hybrid satellite cellular solutions. The asset purchased positions Digi to satellite products and technologies that complement its wireless M2M strategy. MobiApps has a strong technology and product position in the Orbcomm satellite ecosystem. MobiApps' India presence positions Digi to be much stronger in this targeted international growth market. MobiApps employs 53 people in India, including sales, marketing and administrative staff, as well as approximately 30 engineers with strong wireless expertise. MobiApps employs an additional five people in Singapore and three in the U.S. This cross functional group of talented people provides a strong foundation for growth in India and South East Asia. Now let's talk more about the strategic cultural and financial state of MobiApps. Strategically, the acquisition of MobiApps satisfies two target areas in Digi's acquisition strategy by providing leading edge, M2M satellite products and technologies and providing a strong base of operations to grow Digi's Wireless Solutions business in India and South East Asia. Key aspects of the MobiApps strategic take would Digi include the following. Strong knowledge in M2M satellite communications, customs satellite basic we use across Digi products as needed, strengthened focus in India and South East Asia, authority to leverage the broader Digi global sales channels, especially in Europe and the Americas, a common customization and product differentiation strategic orientation, product synergies with iDigi wireless solutions and several of Digi's wireless product lines. And the acquisition of MobiApps is pursuant to our stated five-year objectives of driving wireless to over 60% of our revenue base and drawing international revenues to over 60% by the year 2013. Next cultural step. Culturally we believe, we have an excellent match. We have found MobiApps to be an open high integrity culture where listening and teaming are highly valued and where innovation is ingrain. We have found the management team to be entrepreneurial and yet mature. These values are very compatible with the Digi culture. Finally, financial step. MobiApps has recently introduced new products that Digi expects to market globally. And that are expected to provide high growth even in this difficult market environment. Digi expects the acquisition to be breakeven if all financial targets are achieved in fiscal 2010. Digi expects high revenue growth on an annual basis over the five-year time horizon. Next at the end of our first fiscal quarter, I introduced the fundamental principles that we are focusing on 2009. They are aggressive share gain, profitability, positive operating cash flow, aggressive supply chain management and acquisition. Now let's review our progress. First, aggressive share gain through continued investment in wireless M2M. As I mentioned earlier, we're continuing to increase investment wireless M2M, while others are falling back. As a result, we continue to see strong growth on our wireless products. As we compared Digi revenue performance to others in our sector, we believe that we're continuing to gain market share. Additionally, our recent introduction of the iDigi platform and the iDigi Energy are adding significant momentum to our strategic shift from providing point products to providing wireless M2M solutions to our customers. This increase is our competitive differentiation and will drive increases in share position over time. Second, profitability. Digi just posted its 26th consecutive quarter of profitability and we expect to continue the trend despite external challenges. Three, positive operating cash flow. Digi EBITDA this quarter remained over 8% as a percent of revenue, and we believe that we have strong momentum to drive positive operating cash flow going forward. Fourth, aggressive supply chain management. We continue to manage our supply chain to ensure our key sources of supplier attack and that we have contingency plans in place. Additionally, increased focus on inventory churns has reduced inventory levels by 5 million this quarter, and we've maintained a very strong receivables and payable strategy in position. Finally, continued focus on acquisition. Both the assets are example of the type of acquisition that can be completed in this environment. We are increasing our focus and the energy on the identification and evaluation of these opportunities going forward and are well positioned to execute. I said in previous calls that our goal to be a $500 million company by 2013. Additionally, I have said that we expect revenues to be at least 60% wireless, 60% international and at least 10% services. I continue to believe more than ever that these goals are achievable and that Digi has an actionable plan in place to achieve these goals. So, to summarize, first, Digi posted its 25th consecutive quarter of profitability. Second, we continue to executing our strategy and going more aggressively towards wireless and solutions. And MobiApps and iDigi will only augment that momentum. Third, Digi views this time period as a time of tremendous opportunity to improve our market position and we expect to fully leverage that opportunity. And fourth, I'm very bullish about our ability to achieve our 2013 goal to be a $500 million company with a very exciting revenue growth mix. Next, I'll hand it back to Kris.
Subramanian Krishnan: Thank you, Joe. Revenue for the third fiscal quarter of 2009 was 44.5 million, a decrease of 2.5 million or 5.5% over the third fiscal quarter a year ago. Revenue from Sarian and Spectrum acquired in April and July of 2008 respectively were 6.1 million and 1 million. Sarian revenue for the third quarter includes 3.6 million from a large deal with Fujitsu. As we have discussed in previous calls, this completes the entire contract with Fujitsu. Digi acquired substantially all of the assets of MobiApps Holdings on June 8, 2009. Revenue from MobiApps brand were 47,000 for the third fiscal quarter of 2009 from the date of the acquisition. Wireless revenue was 15.6 million or 35.1% of total revenue in the third fiscal quarter of 2009 compared to 14 million or 34.9% of total revenue in the second fiscal quarter of 2009, and compared to 13.2 million or 27.9% of revenue in the third fiscal quarter of 2008. Wireless revenue grew by 1.6 million or 11.6% sequentially comparing the third fiscal quarter of 2009 to the second quarter. Wireless revenue grew by 2.4 million or 18.6% in the third fiscal quarter of 2009 compared to a year-ago comparable quarter. Revenue in EMEA, which is Europe, Middle East and Africa, was 17.1 million in the third fiscal quarter 2009 compared to 14.5 million a comparable quarter a year ago, an increase of 2.6 million or 17.9%. Revenue in EMEA includes Sarian-branded revenue of 6.1 million and 2.4 million for the third fiscal quarter of 2009 and 2008 respectively. Revenue in Latin America was 800,000 in the third fiscal quarter of 2009 compared to 1.3 million in a comparable quarter last year, a decrease of 500,000 or 41%. Revenue in North America was 22.6 million in the third fiscal quarter of 2009 including Spectrum revenue 1 million compared to 26.1 million in the comparable quarter last year, a decrease of 3.5 million or 13.4%. Revenue at Asia Pacific region was 4 million in the third fiscal quarter of 2009 compared to 5.1 million in the third fiscal quarter of 2008, a decrease of 1.1 million or 21%. The Sarian-branded revenue of 6.1 million was sold entirely in the European region. The service revenue from Spectrum of 1 million was sold entirely in the North America region. MobiApps-branded revenue of 47,000 was sold entirely in the Asia Pacific region. Revenue from the embedded products in the third fiscal quarter was 20.5 million including Spectrum revenue of 1 million and MobiApps revenue of 47,000 compared to 20.7 million in the third fiscal quarter of 2008, a decrease of 200,000 or 1.1%. Revenue from non-embedded products was 24 million in the third fiscal quarter of 2009 compared to 26.3 million in the third fiscal quarter of 2008, a decrease of 2.3 million or 8.7%. Non-embedded products revenue includes Sarian-branded product revenue of 6.1 million and 2.4 million for the third quarter of 2009 and 2008 respectively. International revenue was 21.8 million or 49% of the total revenue in the third quarter of fiscal 2009 compared to 20.9 million or 44.4% of total revenue a year-ago comparable quarter. The strengthening of the U.S. dollar compared to the Euro and the UK pounds sterling had an unfavorable impact on the revenue of 1.7 million in the third quarter fiscal quarter of 2009 compared to third fiscal quarter of 2008. The gross margin was 48.2% in the third fiscal quarter of 2009 compared to 52.9% in the third quarter fiscal 2008. But gross margin has improved sequentially by four-tenth of a percent. The gross margin was lower in the third fiscal quarter of 2009 compared to 2008 due to unfavorable product mix within both the embedded and the non-embedded products and including the sales of Sarian non-embedded products and Spectrum embedded products which provide lower gross profit margin. The strengthening of the U.S. dollar compared to the Euro and the pound sterling had a 1.1 million or four-tenth of a percent unfavorable impact on gross margin in the third fiscal quarter of 2009 compared to the third fiscal quarter of 2008. Our totaled operating expense for the third fiscal quarter of 2009 was 20.8 million or 46.9% of revenue compared to 22.2 million or 47.3% of revenue in the third fiscal quarter of 2008. The total operating expenses for the third quarter of 2009 include a charge for restructuring expenses of 2 million. The total operating expenses for the third quarter fiscal 2008 included a charge of 2.1 million for end process R&D and other expenses related to the acquisition of Sarian. The decrease in operating expense in the third fiscal quarter of 2009 compared to prior year comparable quarter is primarily due to savings resulting from the restructuring plan and the elimination of the incentive compensation program for fiscal 2009, partially offset by ongoing operating expenses for Sarian, Spectrum and MobiApps. The strengthening of the U.S. dollar compared to the Euro and the U.K. pound sterling had a favorable impact on operating expense of $600,000 in the third quarter of fiscal 2009 compared to year-ago comparable quarter. Total other income net decrease by 300,000 in the third fiscal quarter 2009 compared to the same quarter in the prior year. Interest income decreased by 500,000 primarily due to lower interest yields on cash equivalents and marketable security and lower average invested balance, offset by favorable other income which primarily pertains to unrealized foreign currency gains of $200,000. Net income for our third fiscal quarter of 2009 was 1.4 million or $0.06 per diluted share compared to net income of two million or $0.08 per diluted share in the third quarter of fiscal 2008. Non-GAAP net income and net income per diluted share for the third fiscal quarter of 2009 was 2.2 million or $0.09 per diluted share, which excludes the tax benefit of 500,000 for the reversal of tax reserves due to the closure of certain domestic and foreign tax years or $0.02 per diluted share, and a restructuring charge of 1.3 million net of tax or $0.05 per diluted share. Please refer to the reconciliation table in the earnings release which reconciles a net income and net income per diluted share from a GAAP basis to a non-GAAP basis. Digi's effective tax rate for the third fiscal quarter of 2009 was a negative 1.8% including the discrete benefit realized as a result of the reversal of 500,000 in tax reserves due to the closure of certain domestic and foreign tax years compared to an effective tax rate of 46.3% in the third fiscal quarter of 2008. The effective tax rate in the third fiscal quarter of 2008 was higher than the statutory rate primarily due to the impact of the non-deductible charge of 2 million for acquired in-process R&D. Digi expect it's effective tax rate for the full year 2009 to be approximately 10 to 20% including the discrete tax benefit for the extension of research and development credit, the reversal of tax reserves for the resolution of state tax matters and the closure of certain domestic and foreign tax years. The annualized effective tax rate is expected to be lower than the statutory rate for fiscal 2009, primarily as a measure... result of the aforementioned items. For the first time in months of Digi's fiscal 2009, revenue was 125.9% compared to 134.6, a decrease of 8.7 million or 6.5%. Revenue from the embedded products in the first nine months was 55.8 million including Spectrum revenue of 3.2 million, MobiApps revenue of 47,000 compared to 63.1 million in the comparable period of 2008, a decrease of 7.3 million or 11.5%. Revenue from non-embedded products was 70.1 million in the first nine months of 2009 compared to 71.5 million in the first nine months of fiscal 2008, a decrease of 1.4 million or 2%. Revenue of non-embedded products includes Sarian-branded products of 14.2 million and 2.4 million from the first nine months of fiscal 2009 and fiscal 2008 respectively. International revenue was 59.4 million or 47.1% of our total revenue in the first nine months of fiscal 2009 compared to 56.4 million or 41.9% of total revenue in a year-ago comparable period. Wireless revenue was 43.2 million or 34.3% of revenue for the first nine months of fiscal 2009 compared to 32.1 or 23.8% of revenue for the first nine months of fiscal 2008. Wireless revenue increased by 11.1 million for the first nine months of fiscal 2009 versus fiscal 2008 or an increase of 34.7%. The strengthening of the U.S. dollar compared to the Euro and UK pound sterling had an unfavorable impact on revenue of 5.8 million for the first nine months of fiscal 2009 compared to the first nine months of fiscal 2008. For the first nine months of fiscal 2009, Digi reported net income of 3.1 million or $0.12 per diluted share compared to net income for the first nine months of fiscal 2008 of 8.8 million or $0.33 per diluted share. Net income for the first nine months of fiscal 2009 was reduced by the charge of restructuring expense of 1.3 million net of tax or $0.05 per diluted share, partially offset by tax benefit of 900,000 or $0.03 per diluted share. Net income for the first nine months of fiscal 2008 was reduced for the charge in-process R&D and other expenses associated with the acquisition of Sarian of 2.1 million or $0.08 per diluted share, partially offset by the tax benefit of 200,000 or $0.01 per diluted share, resulting from the reversal of tax reserves associated with the closer of prior tax year. During the third quarter of fiscal 2009, we repurchased 58,972 shares of our stock under our previously announced stock repurchase program for $400,000 at an average price of $7.24 during the third quarter of fiscal 2009. The total shares repurchased to date is 1,364,362 shares for 11.7 million at an average price per share of $8.56. Diluted weighted average shares outstanding at the end of the quarter was 24,875,104 shares compared to the previous quarter of 25,195,058 shares, a decrease of 319,954 shares. Turning to our balance sheet and cash flow statements, our combined and cash equivalents and marketable security balance including long-term marketable securities were 66.9 million as of June 30, 2009, increasing by 3.3 million from the end of a prior quarter. Net cash provided by operating activities for the quarter was 5.1 million. We spent 3 million on the acquisition of the assets of MobiApps and 400,000 on repurchasing our stock in the third fiscal quarter of 2009. Quarter-over-quarter, our receivables were up by $5 million to 25.7 million, primarily due to increased revenue during the third fiscal quarter compared to the second fiscal quarter. But our inventory is down five million to 29.2 million sequentially. Our current ratio is 5.7:1 compared to the current ratio of 6.4:1 at the end of the prior quarter. Our DSO is of 40 days compared to 36 days in the previous quarter. Now I would like to provide some guidance for the fourth fiscal quarter of 2009. Digi projects revenue in the range of 39 to 45 million, MobiApps is expected to have approximately $0.01 diluted impact in the fourth quarter of fiscal 2009. Digi projects net income per diluted share in the range of 4 to $0.10. We project annual revenue in the range of 165 to 171 million. The expense to revenue ratio is projected to be in the range 46.5% to 47.5%. We project annual net income per diluted share in the range of 16 to $0.22. Our annual non-GAAP net income per diluted share, excluding the impact of restructuring charge and the reversal of tax reserves and other tax benefits, is projected to be in the range of 18 to $0.24. Now, I would like to open the call to questions. Operator?
Operator: Yes, sir. (Operator Instructions). And our first question comes from the line of Jay Meier with Feltl and Company. Go ahead.
Jay Meier - Feltl and Company: Thanks. Couple of... though I have two questions for you, Joe. Curious to hear your views on how did you participate in the Smart Grid build out ; I was starting to hear some reports from some of the big integrators about bidding and things like that. I know that you've seen some relationships between you and other companies in this space. What do you see out there, and how do you expect Smart Grid to impact your business over the next year?
Joseph Dunsmore: Well, let's start with what's happening on the stimulus program, Jay. What we are saying is that we're finally seeing U.S. Department of Energy formalizing a program they put out on June 25. And so what we are going to see is a lot of big integrators submitting applications. The first awards we would expect... the application period finishes in early August and you would expect to see awards coming from the Department of Energy 90 days later. So you had a question three months ago on what was happening. That's what we are seeing happened. And we would expect to see funding going to the utilities on programs and we would expect already so to speak programs in this energy space would certainly include some of the demand response programs that we are involved in. And so that's progressing well for us. We've got... you know about the relationship with Comverge and the production program that we have in place with TXU. They are certainly working with other utilities, have programs in place, pilots going et cetera that we're participating with Comverge on. In addition to that, we have within demand responsible working other opportunities and have other pilots in place that are not announced. Beyond that, we have the Itron partnership where we see kind of a multi-dimensional opportunity to participate with Itron in their Smart Grid program working with their OpenWay AMI networking solution. And we're making great progress with that on the energy device side. We're working with some of the major other meter players to embed our wireless technology in the meters. And in addition to that, beyond the programs that we have going active today, we certainly have strong product developments focus and we have gateway product that's out on the market. We've got next generation gateway products in process. We've got the Smart Energy profile being integrated into our gateways and our end point products and we feel like we've got a lot of momentum. This is going to be an opportunity that's going to where we have several pilots in place, now we'll start to see those pilots turning to production over the next year. And we'll certainly see more pilot programs starting in the next few months or through this year. Hence I would expect you know the revenue ramp has already began. And I would expect that to continue to ramp up over time for us. So we are bullish about the opportunity and then in addition to the generic opportunity looks like government programs going to start to kick in for the utilities, especially starting calendar 2010.
Jay Meier - Feltl and Company: Okay. And as you look out on this Smart Grid development, other CEOs of major companies, I mean CEO from CISCO Systems describe Smart Gird as potentially 1000 times bigger than the Internet build out. And that's a little bit hard to comprehend really. So maybe you can give us a little bit of color around how big you think Smart Grid could be for Digi. Could it be a 20% of your business kind of a vertical or even more?
Joseph Dunsmore: Great question. I'd say in terms of the overall market opportunity, I'm not going to speak in terms of specific platitudes on the overall market. Other than to say, I do you think that energy management, energy technology Smart Grid build out does have the opportunities to be kind of the next major revolution driving a lot of spending in the U.S. kind of the high growth predecessor to the IT revolutions. So moving from IT becoming a little bit more mature still growing, and then ET becoming some of the higher growth opportunity. For Digi, it's hard to say with any precision what that's going to look like. But I would expect that we have goal of getting to 500 million by 2013, and with reasonable execution against that goal, the energy sector piece of it, it could be anywhere from 10 to 20% of that. So, we'd like to see that in the 50 to 100 million range after a five year time period.
Jay Meier - Feltl and Company: Okay. That's helpful. And tell us a little about how iDigi fits in all on this, and how and maybe Kris could talk about this a little bit. How do you expect revenues from iDigi to impact your business, not necessarily how big are the revenues going to be, but what kind of margins are you looking at? How would that those flows start to happen and are you seeing visibility of any of that yet?
Joseph Dunsmore: Well, iDigi is really important because it becomes an enabler for fast deployment of these networks. And so when we work with a partner like Comverge, one of the big selling points was it was very, very easy for them to basically take their demand, respond to application. And write that application using web services capability into our iDigi platforms. So, connect to the iDigi platform and leverage that platform and all the capabilities of that platform to simply connect to all the end points in the residential homes, for instance, in the TXU network. And so that platform pretty much makes that whole process much easier, faster deployment, lower cost deployment, ease of deployment, a highly scalable deployment because the platform is a very scalable platform and it allows them to deal with one partner that's providing this that's easy to connect to that brings all the data back from all these thousands of devices and so they get to deal with one partner, Digi, that does all of that. So that model, that iDigi platform model, is leverageable with other Smart Energy partners who have an application and want to connect to devices. It's leverageable in other vertical markets where you have the same dynamic where people or companies have an application and they need to leverage wireless connectivity to enhance their offering; whether it'd be fleet management applications or any of the many verticals that we're looking at right now. Some of the top verticals as energy management, medical fleet management are verticals that are fairing reasonably well through this downturn. So, and one of things that we've announced recently, our iDigi Tech offering builds across a few vertical markets leveraging remote tank monitoring and control. So, fundamentals value proposition though is the iDigi platform and all of our wireless connectivity capability from gateways to end point devices allow you to deal with one solution provider, Digi, that make us fast, low cost, easy, scalable and high quality.
Jay Meier - Feltl and Company: Okay. So let's speak about the Texas utilities deals since you guys are since that public and you can talk hopefully little bit more freely about it. Is that an iDigi application then? And if so, how do you expect to get paid; on a per household basis or on a per month basis? Does the revenue recur? How does that work?
Joseph Dunsmore: Yeah that is an iDigi platform deal. We haven't released the information on... specific information on deals that would compromise the other deals that we're looking at in general, I am not going to speak to this one, but in general the way this is going to work is that we'll take recurring revenue on a device per month basis. And in verticals that are highly price sensitive and where there's may be a little bit less value being provided, that the price might be a little bit more aggressive in verticals where maybe that are not as price sensitive and there is more value being added and might be a little bit more. But fundamentally, our base strategy is to charge on a device... recurring revenue device per month with this program. Alternatively, there maybe other models that will work with customers in order to understanding their business model, in order to best meet the return on the investment needs that we have and our customers have.
Jay Meier - Feltl and Company: Okay. Well, that sounds great. That's all the questions I had. Thanks.
Joseph Dunsmore: Thanks Jay.
Subramanian Krishnan: Thanks Jay.
Operator: (Operator Instructions). We have a question on the line, please standby. Our next question comes from the line of Greg Lever (ph) with Investa Capital. Go ahead.
Greg Lever - Investa Capital: Hi, just a follow-up on Jay's question. So Joe, are you selling the devices or you just putting them out and then collecting it on monthly?
Joseph Dunsmore: We sell by ourselves. Our basic revenue model hasn't changed. We are selling the end point device in the... example of TXU, we're providing our Xbee module as the wireless connectivity within the thermostat and we're selling the gateway that provides connectivity to the thermostat and then connectivity back from the homes to the iDigi platform and then back to the application itself. So we're selling the devices and then our basic model for the iDigi platform is addition to selling the device is to charge our recurring price on a per model basis, per device.
Greg Lever - Investa Capital: Okay. And just in terms of some of the other trials to ramp up here as well as this. The Smart Grid in aggregate and can you give us a sense that kind of how big that is for you?
Joseph Dunsmore: Well, I yeah think I has spoke to that with Jay and listen...
Greg Lever - Investa Capital: No, revenue today.
Subramanian Krishnan: Revenue today, no, I don't think we have. Already we have talked about that. I'm not prepared to talk about that right now. Other than to say that it's been ramping that we have in addition to TXU we have additional customers who are coupled, a few additional customers that are actually in production. And we have a couple of new deployment and then we have several in pilot.
Greg Lever - Investa Capital: Okay. And just in terms of the outlook, could you give us a little color about, I assume part of the sequential revenue decline is due to the Fujitsu thing going away?
Joseph Dunsmore: Yeah. There are two things I mentioned. One was with one time Fujitsu revenue now ending. And that was about in the neighborhood of approximately 3.5 million or so this quarter. And our last time buy offer to customers on the Net +50 chip that were end of license. And, so the combinations of those two one-time kinds of things was a benefit this quarter. And, so if you look at... if you take that out, if you look at this quarter and last quarter take up Fujitsu were in last two quarters and Net +50. The base center has the numbers in front. But the base line, if you take those out, was maybe 37 million. So, looking forward to next quarter what we're seeing is, as I mentioned in my comments what we're seeing is June we saw increased daily bookings. We're seeing that same trend in July. And so with the improved bookings right that we're starting to see on top of that base line that's how we come to... and the expectations that that we'll continue. That's how we come to the range.
Greg Lever - Investa Capital: That's helpful. So the last time chip buyers were like in the $4 million neighborhood.
Joseph Dunsmore: Yeah, in that neighborhood I guess I don't have that number. But yeah just like I said the total between Fujitsu and the chip brings us for the last two quarters each quarter roughly 37 million plus or minus of 200,000.
Greg Lever - Investa Capital: Did that how much of an impact on the gross margins in terms of the over the last time buys?
Joseph Dunsmore: Actually that was down slightly. And Fujitsu certainly with the foreign exchange impact averaged just down because when we did the deal it was pretty decent margin deal on the 50% range and with foreign exchange impacts that came down substantially in the verdict. So, those were both situations that got from the revenue perspective were very positive and very positive from a general business perspective. They did average down our gross margin percentages slightly.
Greg Lever - Investa Capital: Got you. And lastly, Kris, on the tax rate for Q4 here, where is that coming that out or it is coming back until the call?
Subramanian Krishnan: The annual rate will be effectively for the year will be in the 10 to 20% range, so we should that really quick for the quarter approximately about mid 30's.
Greg Lever - Investa Capital: Mid 30's. Okay, thank you so much.
Joseph Dunsmore: Okay.
Operator: Our next question comes from the line of Henry Schein (ph) with Wedbush Morgan. Go ahead.
Henry Schein - Wedbush Morgan: Hey Joe, you comment just a little bit more on the competitive environment. You've mentioned for a couple of quarters in a row where you talked about some of the other companies sort of in the sector having some difficulties. Can you explain that just a little bit more about whether... is this something Digi is doing, is there something in the markets doing, and what do you think the impact... net impact do you guys have for the next few quarters?
Joseph Dunsmore: During this time, it is a couple of different data points. If you look at the broader tech environment, what we're seeing is, did you look at the bell weathers, Intel, GI those kinds of people. Generally speaking, the year-over-year revenues, even the IBM have a range from 12% to over 30% down year-over-year. The average I'd say is somewhere probably around 20 down year-over-year. Then if you look within some of the public companies touching the M2M space, what we're seeing is more significant impact then that would be even. We are saying it was way down last quarter. They haven't reported yet this quarter. You are saying... if you look across the public companies, numbers in the 20 to 30% down year-over-year. What we were saying is... what we've seen is within the core kind of product lines, we are down in the neighborhood year-over-year of about 17, 18, 20% in that kind of ballpark. We get the balance set of some pretty decent roads the last couple of quarters and continued growth this quarter year-over-year from the wireless products. And so they have held up pretty strong through this downturn.
Henry Schein - Wedbush Morgan: But in terms of the companies that you guys compete with directly, is that some sort of commentary where you think you guys going to be two or three quarters from now, or is that just kind of a historical comment?
Joseph Dunsmore: Well, first of this is historical. And then I made the comment perspectively because I feel pretty strongly that with the pivot that we're making from have a point product approach to the market to the solutions approach to the market with our lowest drop in networking solution at our end-point products, our gateway products and now at the iDigi platform that we're developing a much more differentiated position than our competitors, nobody is providing this kind of solution that we're providing. And, so I believe prospectively that we're making... we're investing more and making more progress in providing differentiated solutions sets than our competitors.
Henry Schein - Wedbush Morgan: I understand that. Thank you very much.
Joseph Dunsmore: Thank you.
Operator: Our next question is a follow-up from from Jay Meier. Go ahead.
Jay Meier - Feltl and Company: Thanks. The iDIGI revenue stream is obviously distinct from your other revenue streams. I assume it has a higher margin and can you just tell us what you expect that gross margin come in at growth and do you anticipate breaking out that revenue from the mix of other revenues?
Joseph Dunsmore: Yeah, it will be quite a bit higher than the product revenues. I'd say, probably in the 70, 80% range. I will say, that's where we would expect it to be over the time horizon. And as it becomes material, we'll provide that information. But there are margin and we expect to be able to maintain that margin over the five year time horizon.
Jay Meier - Feltl and Company: Okay. And we talked about how much of your revenue, hypothetically no one is going to hold you to this, Joe, so speak freely. But hypothetically of the $500 million target in 2013 with ballparking 50 to 100 million in revenue from Smart Grid Energy Monitoring type of applications, how much of that would you imagine would be iDigi recurring revenue?
Joseph Dunsmore: Okay.
Jay Meier - Feltl and Company: Ballpark, should I be thinking half of it. Should we thinking a fraction of it?
Joseph Dunsmore: I wish I knew the answer to that question.
Jay Meier - Feltl and Company: How do you imagine it?
Joseph Dunsmore: Ballpark I would love to, may I wish it was all of that. But it's not going to be all of it. It's going to be the some percentage in the probably...Yeah, probably 10 to 20%, but could be a little bit more. We're pretty early and the experience that we have in the marketplace on this. We have a number of early customers, but we're still early. So the gross margin number that I gave is what we think, but we may not be right, but that's what we think. And 10%, 20% ballpark is what I think but I may not be right. What I am giving you there is much more project... probably, because you're asking the questions, I'm trying to give you an answers, it's much more conjecture than the very firm goal and plans that we have in placed to achieve 500 million in revenue and 60% wireless, 60% international and 10% services. But that gives you a sense.
Jay Meier - Feltl and Company: A pretty good sense and I appreciate it. Thanks.
Joseph Dunsmore: Okay.
Operator: And ladies and gentlemen, that does conclude the time we have available for questions today. I'd like to turn the call back over to Mr. Dunsmore for closing remarks. Please proceed.
Joseph Dunsmore: Thank you everybody for attending the call. And I look forward to speaking with you again you in three months.
Subramanian Krishnan: Thank you.
Operator: Ladies and gentlemen, thank you for your participations in today's conference. This concludes the presentation. You may now disconnect. Have a wonderful day.